Operator: Welcome to the Triple-S Management First Quarter 2015 Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I would like to turn the conference over to Kathleen Waller with AllWays Communicate. Please go ahead, Ms. Waller.
Kathleen Waller: Thank you, John. Good morning everyone. Welcome to today's first quarter 2015 earnings conference call. With us today are your hosts, Ramon Ruiz-Comas, President and Chief Executive Officer; Bobby Garcia, Chief Operating Officer; and Amílcar Jordan, Chief Financial Officer. Also in the room is Liliana Rivera-Corcino, Corporate Controller. I'm sure all of you have heard the Safe Harbor statements before, but we still need to get this housekeeping issue out of the way. Each quarter, Triple-S management executives will provide their current view of the company's future. This means that they will share forward-looking information with you. As you know, these statements can be affected by risks and uncertainties involved in the business. Despite management's best efforts, what actually happens maybe materially different from what you hear today on the call. To get a better understanding of why this may occur, please look at the Safe Harbor section in today's news release and in the company's periodic filings with the SEC. In addition, the information shared on this call should be considered current only as of today. After today, please use this information for your reference only and remember that the company assumes no responsibility to update it. This call is being webcast. Shortly after it ends, you will find an archived version on the Investor Relations page of the company's website at www.triplesmanagement.com. If you don't have a copy of today's news release already, you can either find one on the company's web page or you can call me, Kathy Waller, at 312-543-6708, and I will get one to you immediately. In addition, we can always make sure you're on our distribution list going forward. With that, I'd like to turn the call over to Ramon. Ramon, please go ahead.
Ramon Ruiz-Comas: Thank you, Kathy. I want to welcome everyone to this morning call. I will first provide a high level overview of our first quarter results and then I will hand the call to Bobby Garcia, our COO, who will briefly touch on operational developments. Amílcar Jordan, our CFO, will then provide a more in-depth discussion of our quarterly performance. Following our formal remarks, we will answer any questions you may have. Let me start off by saying that we are pleased with our performance across all our business units in a quarter that typically has a high utilization in our managed care business. We are also happy to report continued progress with the initiatives that are being implemented. Our administrative expense remains relatively stable on our overall MLR was lower than the same period a year ago. In addition, we bought back 683,000 shares of common stock leaving 29.7 million remaining under the current repurchase authorization. We post pro forma net income of $9.8 million or $0.37 per diluted share versus pro forma net income of $6.9 million or $0.25 in the first quarter of 2014. On a GAAP basis, our net income was $14.8 million or $0.56 per diluted share versus $7 million or $0.25 last year. Consolidated operating revenue were $573.8 million, up about 1.8% per year-over-year. The managed care MLR fell by 190 basis points to 84.7% and consolidated loss ratio improved by 170 basis points to 81.2%. The life insurance segment posts another solid performance and the property and casualty business doubled its quarterly operating profits. In summary, we were pleased with our overall quarterly performance and we are confident in our ability to navigate where has been a difficult environment. Furthermore, we have the balance sheet strengthto refurbish better challenge, that are in our control.Nonetheless, given the issues that we faceincluding the continueddecline in Medicarerates, the local government seesthat situation they protect investmenton the local economyand the purpose to runthe government tax reformlegislation, we are not providing 2015 guidance. I will now turn the call over to Bobby to give you a brief update on our key business segments.
Bobby Garcia: Thank you Ramon and good morning. We continue to focus on creating value for our shareholders by improving our administrative and medical cost structure, building a leaner more agile organization and positioning the company for profitable growth in our core and adjacent markets. My remarks will concentrate on our managed care segments where operating income nearly tripled overall. In the commercial business, our MLR continues to improve from 89% to 83.2%. This reflects the effect of our strategic decision to focus on profitability over market share and our disciplined underwriting approach. We continue to lining premiums with claims trends with average rate rising 6.7% year-over-year. Also, initiatives implemented last year to address rising claim costs such as a thermal revision of medical quality and contractual arrangements have begun with their foot. In our Medicare Advantage business, MLR rose as a result of continued increases in pharmacy cost principally specialty cost. Despite this increase in MLR, our MA business had a better showing that we anticipated reflecting progress with initiatives being implemented by Madeline Hernández, the new head of that business. For instance, contractual negotiations in capitation arrangements with specialized providers at yielded cost savings. The legacy American Health and Triple-S offering have now been consolidated into single HMO at PPO product lines, the number of ITA providers has been have and the payment models has been restructured. Our team has implementing a strategy jointly with our PCPs to intensify HRA the in-home assessments, which has improved the identification of our member’s diagnosis. And consequently our estimate of risk score revenue for payment near 2015. Madeline has also strengthening her executive staffs and investing in technology platforms to improve compliance, operational measures, and ultimately, star ratings. The Medicare Advantage market in Puerto Rico will remain under pressure reflecting the schedule decrease in premiums annually through 2017 as mandated by the Affordable Care Act. As a result of the 2016 call letter, we estimate that the benchmark reductions will adversely impact all premiums by 11% to 13%. As we prepare our base, we’re evaluating the effect of these reductions on a benefit design and product offerings. Turning briefly to Medicaid, we were able to make a seamless transition for the new adverse contract, which became effective April 1. Giving beneficiaries all and immediate access to our well established network. We’re now serving about 430,000 members in the MiSalud and west regions of Puerto Rico. As we look down the road we feel confident and our ability to strengthen our leadership in our core markets and remain focused on positioning Triple-S to increase its profitability in the coming years by building a performance-driven organizations and continuing to drive down cost. I’ll now let Amílcar, offer you more in-depth analysis on financial component.
Amílcar Jordan: Thank you Bobby, good morning. We reported net income of $14.8 million or $0.56 per share for the quarter ended March 31, 2015, from total net income of $7 million or $0.25 per share in the same quarter last year. The $7.8 million increase in net come was mainly driven by our lower medical loss ratio in the Managed Care segments’ commercial business. The result for this quarter, also include net realized investment gains of $6.2 million or $5 million after tax from the sale of investment securities. Our results for the quarter reflect consolidated operating revenues of $573.8 million, $10.7 million or 1.8% less than the same quarter a year ago. This decrease resulted mainly from a $9.2 million reduction in premium revenue mostly in Managed Care. Quarterly operating revenues in our Life segment were up $3 million, while those in our Property and Casualty segment fell by $500,000. On a sequential basis, premium revenues increased $10.2 million from the previous quarter. Consolidated claims incurred for the quarter declined $16.7 million or 3.7% driving down the reported consolidated loss ratio to 81.2%, a 170 basis points reduction year-over-year. The consolidated loss ratio was positively impacted by 190 basis points improvement in the Managed Care MLR. The loss ratio of the Property and Casualty segment, also reflected improvement decreasing by 270 basis points, while the loss ratio of the Life segment increased by 600 basis points. The latter was principally affected by increases in ordinary right claims and reserve at the new level to higher persistency . Consolidated operating expenses were $2 million higher than a year-ago, mostly reflecting higher professional services incurred during the first three months of this year and [Indiscernible] increase in the health insurer provider fees. These increases were partially offset by lower operating [ph] cost resulting from our 12% headcount reduction. The operating expense ratio increased 80 basis points year-over-year, largely due to the decline in premium revenue. I will now focus on a few segment highlights, and a brief discussion of the changes to our MLR. Managed Care premium for this quarter were $472.5 million, down $11.5 million or 2.4% year-over-year, reflecting the commercial member month enrollment partially offset by commercial premium rate increases and higher Medicare revenue. Commercial premium revenues were down $17.2 million or 7.5% year-over-year down [ph] from the upper mentioned membership reduction. Fully-insured commercial [indiscernible] enrollment runs by approximately 12% or approximately 52,000 members from last year. The membership contraction has largely taken place in our rated groups, including several accounts in the government sector and individual account products, reflect our underwriting discipline, pricing sensitivity and attrition in existing accounts as a result of the existing [ph] challenging economic situation. The impact of the lower membership on was partially offset by higher average Commercial PMPM premiums which grew 6.7%. Total medical members decreased by approximately 3,500 or 2.9% from last year, primarily result of our exit from the stand-alone PDP. Our party members increased by approximately 10,300 partially mitigating the impact of the last three memberships. Medicare premiums increased by approximately $5.7 million or 2.2% during this quarter, reflecting the change in membership makes to [indiscernible] which varies the higher PMPM premium. Managed Care Segment claim for the three months period declined $19.2 million or 4% and 6% from last years. The segment’s MLR was 84.7%, reflecting 190 basis points improvement from the same period last year. The Commercial MLR for this quarter was 83.2%, 580 basis points lower year-over-year, primarily due to improved profile of our book of business, as well as favorable prior period reserve developments. Excluding the effect of prior period reserve developments and all related adjustments this metric was down 290 basis points when compared to last year. The lower adjusted MLR replaced pricing adjustments that were propionate with claims trends. Our claims cost containment initiatives, an improvement in the U.S. Virgin Islands similar offset impart by the increased pharmacy cost. The Medicare MLR was 85.8%, 160 basis points higher than last year. The highest contributor to higher MLR was higher pharmacy cost. And other contributor to the MLR [indiscernible] was the changing membership meets previously mentioned. These [indiscernible] were partially offset by favorable prior period reserve developments and a settlement received from our prior PBM vendor. As growing the insight of prior period’s reserve developments, risk score adjustments on the premium settlements the Medicare MLR increased 460 basis points. Managed Care operating expenses went down $700,000 from a year ago. This reduction reflects a result of the cost containment initiatives implemented in 2014. We [indiscernible] to mitigate $2 million increase in the health insurer provider fee for 2015. Operating expenses in this segment experienced a slight sequential increase of $300,000 less than 1% and operating expense ratio decreased by 20 basis points mostly due to by the increase in premium revenue. Our life insurance segment generated operating income of $4.8 million, compared with $5.2 million in same quarter last year. [Indiscernible] reflect a 600 basis point increase in its loss ratio primarily due to policy and their reserve. Our Property and Casualty Insurance segment achieved operating income of $1.5 million, compared with $700,000 in the prior year. The increased operating income primarily results from the segments improved loss ratio, which went down 270 basis points reflecting a favorable loss reserve development in the American [indiscernible] line, where we have $300,000 or 2.4% reduction in operating expenses. Consolidated income tax expenses increased $3.8 million year-over-year. And this increase reflects a greater proportion of income from our Managed Care segment, which operates at a higher effective tax rate. For the three months ended March 31 of this year, net cash generated by operating activities are market to $37.4 million, $15.9 million higher than a year ago. Our investment portfolio of $1.2 billion as of the end of third quarter with a net unrealized gain of $120 million. Our exposure to Puerto Rico obligations amount $27.2 million or just 2% of the portfolio, including $60 million of escrow bonds collateralized with U.S. obligations. During the quarter, we reported assumption [ph] for our impairment charge of $1.2 million on these securities. Base claim payouts as of the end of the quarter were 68, after the increase when compared to December 31, 2013. Our financial conditions continues to be strong and our results for the quarter and then operated that the [indiscernible] to further translate [ph] our franchise are getting first especially in light of the [indiscernible] economic environment in Puerto Rico. We will now proceed to Q&A session.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] First question comes from Peter Costa with Wells Fargo Securities. Please go ahead.
Peter Costa: Hi, guys and good job on the quarter. Can you tell us how the Medicaid rollout is going at the new risk contracts and so the press report suggests that some of your – the new competitors are having the difficult time with the business and can you tell us how you’re doing and then what do you think is going to be the resolution of some of the competitors problems?
Ramon Ruiz-Comas: I will say – hi Peter, first I will say, in our case remember that we have $8 million for our purpose. The rollout was seamless really we didn’t have any significant situation during the enrollment period and we’ve renewed two contracts. As a matter of fact, one of the thing that we did was the – as part of our process of transition and we’ve already [indiscernible]. We tried to help and provide all the information that we could do – that we could provide in order for them strategically the process of transition. So in our case I think that remember that we have the contract with the providers that we have in the office, so we have the performance. So we didn’t have to go through training and we have experience. We have over 20 years of experience in the Medicaid business. So in our case we didn’t have, I would say, the challenge of new comers like our competitors. So you know we feel very happy how things are going on and we expect that that the process continues to be without any problem.
Peter Costa: And what do you think about the resolution of the competitors problems and are they more serious and they fear or are they about the same from the media just startup issues or do you think it’s going to be something that’s going to…
Ramon Ruiz-Comas: I would say, Peter, it will take time. Remember that when you have – in their case, they have issued in different firms. I would say from the standpoint of members, well, I can’t tell you the Triple-S brand – and Puerto Rico – brand is very strong here in Puerto Rico. So even you have companies – recognized company in the State, they are not recognized here in Puerto Rico. And then you have owners that they didn’t have contract with providers and that was an issue. That’s something that they have been working, but it will take time. So I will say one of the things that I don’t know how they are going to handle is that, if they don’t have contract how they are going to be paying to the provider, because if they do not pay on a out pay on a very early basis the payment for service provided by the providers, that will be total for progress. So and again they have not – they didn’t have the experience dealing with this type of population. So we should expect in the coming months to continue to be challenging. But things then will settle down, we have more experience and they contract all the providers and make all the agreements that they need to make. In our case, it was seamless.
Peter Costa: I know it’s early still, but do you feel as though the rates that are established are adequate in your regions?
Ramon Ruiz-Comas: At this point may be the way I will answer because remember I cannot give you forward-looking statements. But the way I will answer is, at this point I don’t have any information that will [indiscernible] that our projection, that we use to prepare if there is anything if you come back in.
Peter Costa: Okay, then in terms of the 2016 Medicare managed rates, I think, it’s 11% to 13% rate cut for 2016, I know that competitively you don’t want to stay back, how you are going to manage through the – what are some of the levers that you think will be most effective in managing that significant rate cut?
Ramon Ruiz-Comas: I will say that part of the analysis that we are going through at this moment, on 11% to13% decrease is significant. Therefore we are going – we are reviewing all the benefits and the positive time in order to free how we can manage those decrease. We are in that process right now, so I cannot give you any comment other than that we are working making the analysis. But at the end this is something that we need to work for in order we continue providing the service that we look forward to provide. So it’s difficult and that’s why the rate reduction that we have was larger than we were expecting initially. At this point Puerto Rico even the government is trying to talk to CMA to see where they can operate any type of revision, but the way we work is that we’re not assuming that there will be distribution. So actually we’re reviewing the benefit design. And then, determining what are the next steps that we’re going to take into consideration both sharing the conditions.
Peter Costa: Does that significant rate cut increase the amount of business books being shopped or your competitors intentions to stay in the marketplace?
Ramon Ruiz-Comas: I will say it will be sharing into all of our. The way I will answer, when you talk about on – and I will use 11% like I can’t 14%. And I will use it for the heck [ph] of the example 2014. When you reduce your rate by 13%, it will be challenging through all the competitor period. So I will say in our case, the only thing that I can tell you that is one of our strengths. We have a diversified portfolio. So we’re able to better manage that [indiscernible] all that done, all the competitors, that the main reason is Medicare Advantage. But I’ll say it will be challenging to us. So there will be no competitive advantage to anybody when you have decrease of let’s say in the example of 20%.
Peter Costa: Okay. And then from the cost side, you’ve done a lot of trim your provider networks. The Commercial business had some good improvement, in terms of the loss ratio, do you think that’s sustainable, is that coming about because of adjustments to the provider networks or there are other things that are leading to that improvement. I know some of that came from the U.S. Virgin Islands business, but how much….
Bobby Garcia: Yes, I’ll tell you some part came from U.S. Virgin Islands but either we’re in a dynamic industry. So I’ll say things that we are looking ahead that the way we do healthcare is going to be changing. Therefore, we need to look for all the alternatives in order to provide service, new contract provider maybe joint venture with decision. So I’ll say this will be dynamic. And this is something that we will continue to work. And always, you’ll have up or down in the MLR. And we will continue to look for all our alternatives to be effective in the way we provide service. But one thing that for in my mind is going to is that we will need to be changing. And as we mentioned last year, our health organization restructuring that we are doing. We are looking back in the healthcare business will be more consumer oriented organization and that comes in the – we will continue to work very hard. And that will not only include change in the organization structure. But also in the way we do business and the contractor arrangements that we may have with the provider.
Peter Costa: On the other side of cost - its pharmacy cost which in Puerto Rico a very substantial part of the overall cost structure, specialty pharmaceuticals continues to raise the cost. Can you tell us specifically how you are trying to tackle the specialty pharmacy cost issues as those new jobs come out and what you are doing about it?
Bobby Garcia: Okay. In the case of the specialty pharmacy we are making agreement with them I will say we have been reducing the network in order to get better agreements that something that we start a year ago and we continue to work with them. I will say in the case of the specialty pharmacy I will say reduce your network will be one of the solution, also one of the things that we are looking for with our PBM is to try to see how they can increase to replace that we will receive are taking configuration the volume that they have some of our business. But I will say specialty pharmacy revised the network is the solution the short-term solution in order to get an immediate restructuring cost.
Peter Costa: And the last question is housekeeping, what was cash at the apparent at the end of the quarter?
Ramon Ruiz-Comas: Excuse me?
Peter Costa: What was the cash at the apparent at the end of the quarter?
Ramon Ruiz-Comas: May be I don’t get that amount. I don’t have a deal and maybe what we will do is…
Kathleen Waller: Yes. $34 million.
Ramon Ruiz-Comas: $34 million.
Peter Costa: $34 million. Thank you very much. I appreciate that color.
Operator: The next question comes from Ralph Giacobbe with Credit Suisse. Please go ahead.
Allison Ryne: Hi. This is Allison Ryne on for Ralph. Just a quick question you guys had previously commented that you see opportunity to improve your margins and on the longer term, given the 11% to 13% rate cost that you are going to see in 2016. Do you still see a path to long-term improvement or is this kind of number…
Ramon Ruiz-Comas: The answer to you that’s why in terms of how we see the business, we are looking for our penalties to see how we can improve the margins. But similarly in the past we have said that year 2015 and 2016 are going to this difficult year. So the answer to you, we continue with our plan, but the next two years, this year or next year will be difficult year.
Allison Ryne: Okay. And then I know last quarter you guys have kind of talked about a long-term net margin target of 2% to 3% by 2017 or 2018. Do you guys still on – or like what do you see in kind of biggest drivers to getting you to that target.
Ramon Ruiz-Comas: All right. I will say we reconfigure when we got provide that target. I will say we configure and we have [indiscernible] average rate that 2015 was going to be a tough year given all the situation that we have mentioned in the past. I think that the way I will answer that we continue to work diligently to achieve that target that we have of 2% to 3% between 2017 and 2018. That’s our target. We continue to work very hard in order to achieve that goal.
Allison Ryne: Okay. And then your P&C performance had continue to kind of outperform our as in this quarter, I know in the past you guys had talked about potential sale of assets and then do you have any update on that?
Ramon Ruiz-Comas: I’d say at this point because of the situation of Puerto Rico, the situation have not changed, while we have maintaining the past. We feel very happy with the results and I’ll say again, it’s not different from what we are doing in the self treatment. The recent quarter improvement have been more disciplined underwriting approach to the portfolio. So as mentioned in the past, this opportunity arise and that’s something that we will consider very seriously. But again at this point given all the news about Puerto Rico, it will be difficult that somebody from outside if interested in making an acquisition at this time.
Allison Ryne: Okay. And then just last one at Medicaid, what's kind of shifted back [indiscernible] in April. There do you have any updated thoughts on how we should kind of think about the revenue and the earnings in your managed care business between the three end markets like commercial, Medicare, and Medicaid.
Ramon Ruiz-Comas: I would say the way I will answer that, we provide – when we announced the contract with the Puerto Rico Health Insurance where we provide information about the membership and the average rate that information that we can provide at this point. Bobby in his inspection mentioned the membership that we have as of April 1, that was 430,000 members. So that will be the update that I can give you, I will say the way we see the business is the different from the information that we have to share with you in the prior.
Allison Ryne: Okay, great thank you.
Ramon Ruiz-Comas: Thank you.
Operator: The next question comes from Tom Carroll with Stifel. Please go ahead.
Tom Carroll: Hi, guys good morning.
Ramon Ruiz-Comas: Good morning.
Amílcar Jordan: Good morning.
Tom Carroll: So follow-up on the Medicare contract, I think, ASES has some outstanding fee-for-service claim still to pay from the pre-April program.
Ramon Ruiz-Comas: Yes.
Tom Carroll: Did those claims – can you size those for us, if you have any visibility on that and do they need to paid prior to the Managed Care companies getting paid. So I guess what I’m getting is does this become perhaps the cash flow risk this year for you guys, as the contract maybe?
Ramon Ruiz-Comas: I will answer that in three parts. The number that [indiscernible] I will provide you the estimated assets as mentioned in the newspaper about to estimate that that they have after March 31. They talk about $200 million, that was an estimate amount that they have talked about. Okay, your second question was whether those amounts need to be paid before the new contract? The answer assets were has decide was that those amounts are going to paid by provider to provider. Factual to the government is provided. Therefore, but they will pay to the new – under the new contracts, they will pay on a timely basis. Back to what they have to mentioned up to this moment. And I will say up to this moment they have obliged what they have said. Okay, and third – the third question was about the risk of payment.
Tom Carroll: Yes.
Ramon Ruiz-Comas: Okay, I will say maybe I will answer that as a lawyer you always have great, so at this moment, I will say the only thing that I can say is that they cannot comply with the responsibility. And the only thing that I can mention to you, that we have considered when we pay for that basis, we consider all the rates associated with that basis. But the rate is there and saying no with brief responsible you only have a rate [indiscernible].
Amílcar Jordan: Great. And then kind of two other operating measures that are kind of sticking out to us this quarter and we know you’re undertaking a restructuring program. But your SG&A level close to 23% is quite a bit a ways from your peers. And then the other item I mentioned is debt. Your debt ratio is only about 8%, also quiet kind of alignment with others. So maybe you could comment on both of those measures and where you would like to get them in terms of…
Tom Carroll: Yes…
Ramon Ruiz-Comas: The first one is very easy. I will – we will be a start in the next quarter because of the size of the ASO basis that we have which was – we work almost in terms of membership work higher, done this size that we have on the rate of contract. Now with the ready contract, I will say that numbers will decrease significantly. When I say significantly, significantly. So I think that that our goal at this time is to be around 15% in operating expense on a – using a ready contract, but i will say remember that – I would say – my guess is around 15%. Okay.
Amílcar Jordan: I think it’s important to consider two things. One is as Ramón mentioned sanctioned America contract to our models, downsizing of the Medicaid business we got worried [Indiscernible] with see some reduction in expense that’s related to that business as well.
Ramon Ruiz-Comas: Okay. And then the other question was…
Tom Carroll: Just comment on your debt ratio.
Ramon Ruiz-Comas: I think that we are aware that we have a low debt ratio and I will say when conditions are adequate that’s something that will use it to do whatever financial transaction that we think is…
Tom Carroll: I wonder if you could comment further on – I think you guys are pretty, have a good amount in excess capital and if you could combine that with this sort of debt ratio. It seems like a repurchase program might be prudent. I mean…
Ramon Ruiz-Comas: I will say the answer to you – the answer to you is we have stock repurchase program upgrade, second I’ll say remember that when you analyze, the correct capital your profitable, we are not configuring the requirements of the profits yield and that we have been – some of our affiliates, we have purposing those – therefore purpose of the statutory accountings or capital more actually their debt, so you need to be very careful when you analyze the amount of excess capital that we have. Notwithstanding what I'm saying, I will say we have mentioned in the past we will continue to analyze the best use of our capital and that’s something last year at the end of the year we decide that making our repurchase of $50 million were something that it prudent and we will continue to monitor and evaluate the capital requirement and the best way to use our capital. So that something that it‘s under configuration at all time.
Tom Carroll: All right, and then just a housekeeping item, what's the good will at the end of the quarter and kind of update us on your – if there is any plans to looking to impairing that at all?
Amilcar Jordan: If I remember – it’s $25 million.
Ramon Ruiz-Comas: $25 million.
Tom Carroll: Still $25 okay.
Amilcar Jordan: So that’s why we say that we have a strong balance sheet.
Tom Carroll: Okay. Thank you very much.
Amilcar Jordan: Thank you.
Operator: [Operator Instructions] There are no more questions at this time, I will turn the conference back over to Ramon Ruiz.
Ramon Ruiz-Comas: Okay, I would like to thank you all for participating on our call today. We appreciate your time and continued interest in our company. Thank you.